Nathan Ryan: Good morning, and welcome to the Perseus Mining Investor Webinar and Conference Call. All attendees are in a listen-only mode. If you would like to ask a question directly to the company, please use the Raise Hand function within Zoom. For those phoning in, dial star, nine. I'll now hand over to Perseus Mining Executive Chairman and CEO, Jeff Quartermaine. Thank you, Jeff.
Jeff Quartermaine: Thanks, Nathan, and welcome to Perseus Mining's webinar to discuss the company's results for the financial year ending 30th of June '24. I'm joined on this call by Lee-Anne de Bruin, our CFO, who will be presenting to you today. But before passing to Lee-Anne, let me first provide some context to the reports that have been filed with the ASX and the TSX into which Lee-Anne will speak in just a moment. Now, as you're aware, in late July, Perseus published its June '24 quarter report that documented the results for the fiscal '24 year from our three operating lines and two development sites, all of which are located throughout the African continent. Now, in summary, these results demonstrated that, once again, Perseus had done what we said we were going to do in operating sets by producing nearly 510,000 ounces of gold at an all-in site cost of US$1,053 an ounce. Now, these results have been achieved exclusively on the African continent and are firmly established Perseus in the upper echelons of gold producers in Australia and indeed in the world. Now, the annual report that's been published today combines both our fiscal '24 financial report and our fiscal '24 sustainability report for the same period. And they confirm that both in terms of finance and sustainability, our performance has indeed been very strong and has allowed us to once again comfortably deliver on our corporate mission, which is to generate significant benefits for all of our stakeholders in fair and equal proportions. I will now pass to my colleague, Lee-Anne, who will expand on this statement by speaking specifically to the financial and sustainability results. And following Lee-Anne's presentation, I'll add some insights into our recent activities in the area of organic and inorganic growth and hopefully provide a view of what the future holds for our company. We'll then open the floor to any questions that may arise. So over to you, Lee-Anne, please.
Lee-Anne de Bruin: Thanks, Jeff. It gives me great pleasure to present our financial results, which is a combination, as Jeff says, of the immense efforts of our team in Africa and here in Australia. I'll start by focusing on our excellent results for the financial year. I make the point up front that all of our results are presented in US dollars, with the exception of when we talk about dividends per share. Gold produced was slightly down on FY '23 at about 510,000 ounces, but it did come in against our guidance range of 471,000 to 517,000. All-in site cost was slightly up at US$1,053 per ounce, impacted by 5% lower ounces produced largely at Edikan and Yaouré, and then an increased production cost, driven predominantly by the increase in royalties due to higher gold price. Average gold sales price achieved for the month -- sorry not for the month, for the 12 months was US$2,014 per ounce, which is up US$211 per ounce on the previous financial year, but slightly below the average spot rate for the 12 months. The increased gold price has resulted in a US$961 per ounce cash margin and a notional cash flow of US$490 million, which is up US$38 million on our prior financial year. As you would have seen in our quarterly report, Perseus ended the financial year with US$587 million on the balance sheet in cash and bullion. Turning to our financial metrics. We generated US$1 billion in revenue, which is 7% up on our prior year, due to the increase in gold price per ounce. Profit before tax up 22% at US$467 million and profit after tax US$364 million after making contributions to our host governments through income tax and withholding tax on dividends. The operating cash flow generated was US$429 million, contributing to a 9% increase in our net tangible assets to [US$1.2 billion] (ph). And Perseus' Board is pleased to announce a final dividend declared for FY '24 of A$0.0375 per share, which delivers a A$0.05 per share for the full year. So that strong operational and gold price performance has generated a strong growth in our earnings with EBITDA up 13% at US$625 million, gross profit from operations up 19% at US$483 million. And these results have culminated in a basic earnings per share of US$0.2362 per share and importantly an earnings per ounce of US$717, up 20% on last year. And we always have a strong focus on generating cash to support our growth agenda. Perseus has generated cash flow of US$429 million this year, which equates to operating cash flow per [ounce] (ph) of US$0.3126 per share and an operating cash flow per ounce of US$844 per ounce, up 6%. Showing our quarter-on-quarter performance, Perseus has averaged 513,000 ounces of gold at an average all-in site cost of US$988 for the last three years, something we're extremely proud of. And we've also remained reasonably stable in the all-in site cost area despite inflationary -- despite an inflationary environment. And this has allowed increased margins in our rising gold price environment. Shifting towards our balance sheet. We still remain undrawn on our US$300 million debt facility. Total assets now sit at US$2 billion, with net tangible assets, as previously mentioned, at US$1.2 billion and this generates a net tangible asset per share of US$0.89 -- I'm sorry, US$0.89. Our balance sheet, as you can see, is well positioned to fund our organic and growth aspirations and including our development of our CMA Underground at Yaouré and the Nyanzaga Gold Project in Tanzania. We always pride ourselves on delivering to promise and we continue to execute our business plans and deliver against our guidance. The all-in site cost, which is a cash cost, fell below guidance, partially impacted by the underperformance of the mining contract at Yaouré during the financial year. The mining deficit is being remedied and will impact the mining cost and hence all-in site cost in Q1 of F '25, as it's been reflected in the guidance for the six months for that period. So, if we reflect on our guidance for that FY '25 financial year, we delivered 519,000 ounces in the top -- sorry, 509,000 ounces in the top end of the full-year guidance and an all-in site cost of US$1,053, which for the full-year guidance puts us at the midpoint for the year. And turning to the future, guidance for the six months ended December '24 has been set between 220,000 ounces and 260,000 ounces and an all-in site cost of US$1,230 to US$1,330. This reflects the increased mining that will occur at Yaouré in Q1 FY '25 to remedy the FY '24 deficit and a slightly lower ounce produced at Edikan as we transition to the Nkosuo pit. As communicated in July, Perseus has generated significant quantities of free cash, given gold production, elevated gold price and relatively low all-in site costs. And as mentioned earlier, we've generated [US$424 million] (ph) in operating cash flow after paying US$12 million to our government shareholders in dividends and US$110 million in income tax and withholding taxes in Ghana and Ivory Coast. We have now a clearly articulated plan to improve the quality of our asset portfolio through a combination of organic growth and opportunistic M&A. In FY '24, we invested, as you are aware, US$195 million in the Nyanzaga Gold deposit, which was made up of the US$32 million with our initial investment in the 19.9% in OreCorp, followed by the US$144 million paid for the remaining shares, and subsequently US$16 million paid to the [Tanzanian] (ph) government in change of control taxes. We've also invested further in our organic growth near-existing operations of about US$39 million, which includes progressing the Nyanzaga resettlement program. We also invested in the Predictive asset in FY '24 in equity swaps, and you will have seen our announcement where we've invested a further US$54 million to buy a further 13.82% relevant interest in Predictive in August '24. At June '24, Perseus has a liquidity position of US$887 million, including our US$300 million for undrawn facility. Given consideration to that capital allocation framework and liquidity position, the Perseus Board has declared a FY '24 final dividend of A$0.0375 per share, a total distribution of A$52 million. And this brings our total shareholder returns via distributions for FY '24 to A$0.05 per share, including the A$0.0125 per share we paid in April this year. Earlier Perseus has returned A$160 million to shareholders in three years. And we're also pleased to say that the Board has resolved yesterday to announce an intention to undertake an on-market share buyback of A$100 million, which will commence on or about the 24 September '24 and be completed within 12 months. That brings me to the end of the financial. I'll just briefly touch on our sustainability performance, which Jeff has just previously mentioned. And we also released our sustainability report this morning. Safety performance has improved across the group with a strong focus on our Safely Home Every Day, or SHED program as we call it, and the deployment of our Fatality Risk Management program with our employees and importantly our contractors. Community, a big focus for us. In our social license to operate, we have made [economically huge] (ph) contributions, increased by 17 -- sorry, by 7% to US$717 million, which represents 89% of our procurement. We made US$3.6 million in community contributions. And our local and national employment remained stable at 96%, with female employment stable at 12%. We recently had one significant community event during the FY '24 year. On the environmental side, Scope 1 and 2 greenhouse gas emissions intensity per ounce of gold produced increased slightly, but that's largely due to the slight decrease in gold produced. And we had zero significant environmental or tailings dam integrity issues. So, thanks very much. And I'll now pass over to Jeff to take you on an update on some of our growth areas.
Jeff Quartermaine: Great. Thank you very much, Lee-Anne, for that excellent presentation. Now, in turning briefly to the subject of growth. Now, in the last 12 months, as Lee-Anne has already mentioned, we have been very busy here at Perseus in the area of business growth. Our exploration teams have been busy in and around the existing projects, replacing where possible all reserves depleted by the operations. In addition to this, we've been busily planning the extension of the Yaouré gold mine with the CMA underground development project, and also preparing to develop the Nkosuo open pit mine, which is located adjacent to the Edikan milling operation. We've also acquired the multi-million ounce Nyanzaga deposit, which is located in Tanzania, and we are busily preparing, as we speak, for a development decision on that particular project later in the year. And subsequent to the end of the financial year, as people would be aware, we switched our 9.9% stake in the Koné Gold Project in Cote d'Ivoire for a 17.4% stake in the even more promising Bankan Gold Project in Guinea. So, it has indeed been a very busy year for us and the results of this work will become very evident in years to come. Now, looking briefly at the progress we have made on a couple of these projects. So, first of all, the CMA Underground Project. This is one that is tracking towards a final investment decision in October of this year. Although at this particular juncture, we're extremely confident that things will move ahead as planned. We've been busily recruiting a very, very well-credential team of people to build and to run this operation, and been looking to onboard an underground mining contractor. Legislation in the country, this is the first underground mining operation being contemplated in Cote d'Ivoire. It's likely that we will commence operation under the auspices of a ministerial decree allowing us to move forward with legislation to follow shortly thereafter. The environmental impact, environmental plans, et cetera are currently being reviewed to see if there is any impact of the underground operation. We don't believe there is, but that will be something that will follow. In terms of the pre-FID activities, the underground mining tender is certainly taking a lot of attention. We have received tenders from a number of world-class contractors. We have shortlisted that down to three, and we're in the process of normalizing those tenders. And there is -- the likely winner of that will be, first of all, a very highly credentialed, well-performed international mining contractor. And they will be doing it at a price that makes this project very much an economic proposition for us. By getting foot ready, in terms of infrastructure, various other bits and pieces, and preparing, very importantly, to integrate this underground operation into our existing open pit operations to ensure that there's no difficulties in that respect going forward. As I said, we're looking at the final investment decision being taken in October this year. We will move very rapidly into upgrading various mine services. The contractor will mobilize around March-April next year, and we will start portal works around July. Now, as soon as we do go into the underground mining, we will be recovering some mineralized ground, but we won't be reaching formal commercial production as defined by the accounting standards till April '27. But nevertheless, we will be recovering mineralized material that can be processed right from the site. So, it's very exciting project for us. Looking forward to that one very much. Now, in an inorganic sense, the Nyanzaga project is one that we had quite an interest in earlier this year. This is an extremely exciting opportunity for us. Located in a mining precinct that has delivered an enormous amount of gold and subsequent wealth for many, many years. The thing that is extremely pleasing about what we've experienced in Tanzania since we have taken control of the project is that we've had an enormous level of support from the Tanzanian government, which has allowed us to move forward on a number of fronts heading towards the financial decision later this year. We do already have all key licenses that are required to operate, and we're currently pursuing several parallel paths to that FID decision. That includes resource definition, drilling where the drills are on the ground, rolling and assays being attended to. We're conducting a series of feasibility studies, technical studies, front-end engineering has commenced, as well as site works on the site itself. And in fact, I believe that the first relocation houses, construction of these will be commencing in the next day or two, certainly by the end of this week, the moment the contractors have been mobilized there. Once again, turning to the schedule for this, as I said, we're looking to have the final investment decision made at the -- in December this year. We will move into works very rapidly on the ground. As I said, we're already engaged in early works, relocation, housing, et cetera, et cetera, but major works will commence in January in the new year, culminating in a commissioning period towards the end of '26, and first gold and ramp-up in the first quarter of '27. So that's an extremely interesting and exciting opportunity for us, and we believe that the Nyanzaga project is going to be a significant contribution -- contributor to Perseus for many, many years to come. Now to say that we're excited by what's happening at Perseus is an understatement, and I don't intend to talk endlessly on the subject, but let me just say this. Perseus has indeed had a very good year on all fronts. Over the last 12 months or so, we've received a considerable amount of advice from all manner of stakeholders on how we should manage our capital to best suit their personal aspirations. We've listened very diligently to this advice, and as Lee-Anne has capably described, we've determined a capital management strategy that we believe should meet the expectations of most, if not all reasonable shareholders. At the same time, we have prudently maintained adequate balance sheet strength to not only withstand unexpected changes in our operating environment, but also to enable us to meet our social license obligations and also finance the upgrading of the quality of our asset portfolio, and in the process, provide us with the potential to deliver future growth for the benefit of all stakeholders. So, looking forward, we expect that Perseus will continue to perform in this manner -- in a manner that is very similar to that of the last few years. And where possible, we'll be striving to continuously improve, so that we can deliver sets of results at least on par with those that have been spoken about today. Now, finally, it would be quite remiss of me not to acknowledge the contribution made to the success of Perseus over the last 12 months by all of the men and women from many different countries, ethnic and religious backgrounds, that make up the entire Perseus team. And irrespective of where these people sit in our organization, they have, once again, done an outstanding job. And in every sense of the word, our team walks the talk by proudly living our corporate values that include teamwork, integrity, commitment and achievement. The reports that we've delivered to you today are clear proof of this. And I'd encourage you all to take the time to read them very carefully and to learn just what a terrific company that Perseus Mining has become. So, thanks very much for your attention. This brings our presentation to a close. And now Lee-Anne and I are available to and happy to take any questions that you may have.
A - Nathan Ryan:
Jeff Quartermaine: Okay. Well, I hope that means that the system for asking questions is functional, but nevertheless, hopefully that no questions means that our presentation has addressed all of the things that have come to your mind. But certainly, as I said, it's been a very good year for us. We're pleased with the results and we intend to continue to deliver more and more of these in years to come. So, thank you very much for your attention today and look forward to speaking to you again in the future. Thank you.